Operator: Good morning, everyone, and welcome to Coca-Cola FEMSA's Fourth Quarter and Full Year 2020 Conference Call. As a reminder, today's conference is being recorded.   During this conference call, management may discuss certain forward-looking statements concerning Coca-Cola FEMSA's future performance and should be considered as gut-based estimates made by the Company. These forward-looking statements reflects management's expectations and are based upon currently available data. Actual results are subject to future events and uncertainties, which can materially impact the Company's actual performance.
John Santa Maria: Thank you, and good morning, everyone. Thank you for joining us today to discuss our fourth quarter and full year 2020 results. We appreciate your interest in our company and hope you and your families are safe and well. With me today are Constantino Spas, our Chief Financial Officer; Matias Molina, Strategic Planning Director; and Jorge Collazo; Head of Investor Relations. I'm pleased to report solid operating results and important advances in our strategic priorities. Our performance is a testament to our ability to adapt to complex operating environments and drive savings and efficiencies across the entire organization. During the quarter, we saw overall improving trends, leading to the first quarter of consolidated volume growth since the start of the pandemic. This was driven mainly by our comeback plans, the continuous resiliency of our traditional trade channel and the unmatched affordability of our portfolio. Additionally, we're able to continue strengthening our competitive position resulting in market share gains across key territories and categories. Despite the significant challenges posed by COVID-19, 2020 was a year of resilience and continuous transformation for Coca-Cola FEMSA. We not only address the pandemic with operating excellence, but also continue to move aggressively on all our strategic and digital fronts. During our call today, I will briefly review our fourth quarter results and comment on our strategies and key priorities for 2021, then I will switch gears to discuss the great news concerning yesterday's announcement on beer -- on the beer distribution agreement in Brazil. Finally, I will turn the call over to Constantino to review the results of each division and expand on our capital allocation as we continue to strengthen our solid financial position. Moving on to discuss our results. Our consolidated volumes increased 1.4%. This improvement was driven mainly by the continuing solid performance of Brazil and Guatemala, which volumes grew 9.8% and 12%, respectively. Additionally, we saw significant sequential recovery across most of our markets, including key territories such as Mexico, Colombia and Argentina. Importantly, we continue to see improved performance across beverage categories in most of our territories. On a consolidated basis, our sparkling beverage category consolidated volumes outperformed, led by 2.3% growth in brand Coca-Cola and 2% growth in flavored. Bulk water grew 1.9% and our still beverages category grew 4.8%, driven mainly by solid growth across our South America division. In Mexico, we saw improved trends during the quarter despite the strict December lockdown in Mexico City. During the year, we focused on bolstering our renewed affordability portfolio to reactivate growth.
Constantino Spas: Thank you, John, and thank you all for joining us on today's earnings call. I will now expand on our division's highlights for the fourth quarter. Starting with Mexico. In Mexico, our top line decreased 2%, driven mainly by unfavorable price/mix effects and a 2.9% volume decline. These effects were partially offset by our pricing and revenue management initiatives. Importantly, we're able to expand our operating margin by a solid 650 basis points in Mexico, driven mainly by cost and expense efficiencies and savings. Importantly, our multi-serve returnable presentations have continued to grow double digits. While our single-serve one-way presentations have shown some sequential recoveries throughout the quarter. Moreover, we saw an accelerated volume performance in both the energy drink and bulk water segments. If we think about 2021, we expect the sequential recovering trend to continue, while we leverage on the important learnings that we've had from this historical crisis. We're pretty confident that we will be able to continue to protect our margins to deliver positive results. Moving down to Central America. Our volume increased 1.3%, driven mainly by a double-digit volume increase from our operations in Guatemala, which continued to deliver very solid performance, which were partially offset by volume declines in Panama. Panama is a market that has been hit very hard by the pandemic and its consequences. On the pricing front, our revenue management initiatives, coupled with a positive currency translation effect from our Central American currencies into Mexican pesos drove top line growth of 4.4% in Central America. As a result, our combined revenues decreased 4.7% in the Mexico and Central American division. Despite the effects of COVID-19 on our volumes in Mexico, together with the unfavorable price/mix effects and the depreciation of the Mexican peso, our operating margin for the division expanded to 160 basis points, while our operating cash flow margin expanded by 420 basis points. This increase was driven mainly by declining PET costs, successful currency hedging initiatives, our ability to drive savings and operating expense efficiencies.
John Santa Maria: Thank you. Against the backdrop of an extremely complex year, we continue to execute and deliver on our strategic priorities. Our fourth quarter and full year results show our positive trajectory and unwavering commitment to achieving our vision of refreshing the world anytime, anywhere. As we move ahead, one of our key strengths is our mutually beneficial business relationship with the Coca-Cola Company. Working together, we not only reacted rapidly and forcefully to the pandemic, but also remained focused on driving the system and our company forward. Thank you for your continued trust and support in Coca-Cola FEMSA. Operator, I would like to open up the call for questions.
Operator: . The first question is from Felipe Ucros with Scotiabank.
Felipe Nunez: Congrats on signing the new deal. A couple of questions on my side. The relationship with Heineken, obviously, it was tough over the last few years, right? A lot of losses going back and forth. Heineken trying to leave the system very abruptly. So finally, you've struck a new deal, but what remains the relationship after a few years of going back and forth? And how much has it suffered really? And then my second question is on the 5-year optional renewal cost. I think based on the messages that were sent to the market, it seems fairly evident that Heineken wants to migrate to the current system eventually. So should we assume that the intention from them is to avoid the renewal five years, and it's more of an optionality in case things are not going well in the current distribution system? I mean should we assume this is really five years instead of 10?
Constantino Montesinos: Do you want me to take that, John?
John Santa Maria: Yes, why don't you, and I'll add to it.
Constantino Montesinos: Sure, sure. Perfect. Felipe, thank you very much for your questions. I'm going to start from your last question. That's a definite no. I mean as we have shown on the press release, this is a deal that has a five-year automatic renewal clause into it. So we should see it as a minimum of a 10-year deal and not as a five-year deal. That's pretty straightforward. And John can complement on that. And Matias also who is part of the deal structuring can also provide some more color. On the relationship side, I mean my point of view, Felipe, is that in all business relations, there are times that are difficult, and then there are times where interests and context and situations align. We would have not signed the deal between such a complex system and such intertwined set of stakeholders if our relationship amongst -- the relationship amongst us was not very positive that would allow for this type of deal to be designed and implemented. So the relationship is a very professional relationship between two very successful entities, the Coca-Cola system with its multiple stakeholders and Heineken. And we have designed an agreement in a -- I would say, a distribution system that will be extremely beneficial for both parts and that will provide for a platform for growth for both Heineken and the Coca-Cola system going forward. So anything else, in my point of view, is just mere speculation. And I would prefer to focus on all the benefits and all the details of the deal rather than speculation around emotions and things that are not really factual, if that's the case. I don't know, John, if you want to provide more color or Matias about the deal?
John Santa Maria: Matias, why don't you go ahead?
Matias Molina: Yes. I just wanted to make it very clear, Felipe, this is not an option. As we said, it's an automatic renewal for either of the parties. So definitely the case where you should assume that this is more of a 10-year deal than a five-year deal.
John Santa Maria: Felipe, I just want to come back to what Constantino said. I think this deal is a very good deal for both companies. I mean when you start putting in place a dual distribution system in a market like Brazil, that allows for increased brand availability, liquid availability and consumer satisfaction, an array and a more powerful portfolio, I think that's the first thing, it becomes very consumer-centric. Secondly, we are excited that we are going to have not only some base brands with us, but some international brands coming on board throughout the rest of the time period, three brands that we've agreed to with Heineken, but also the strategic flexibility to develop a portfolio that allows us to have a grounding in other types of beers, okay, and to be able to produce and distribute our own. So, I think what we found was an alignment of interest, okay, that we haven't been able to find before. And obviously, this is going to be a new page in our relationship with Heineken. Yes, we did come off with some tough times. But I do think it is the ability. And we are doing this with the utmost enthusiasm to be able to win together in the marketplace. So if we didn't think that way, we would have not done it, either on our side or on their side. So I think it's going to be a win-win for both.
Felipe Nunez: No, fantastic clarity on that, John and Constantino and Matias. It's definitely a win-win and definitely very good news. We just tend to focus on the sell-side, a little bit on the whole if there can be on any deal, but definitely a great deal. Maybe a short follow-up on Argentina. Very unexpected fantastic performance and not just from you, but from a host of consumer companies that we were not expecting and from what I could read, not many people were expecting a great quarter in Argentina. Any color you can give us there about why that's happening? Is the consumer, I don't know, pre-stocking ahead of higher inflation this year when  released? Or what's happening? Why is Argentina doing so well in what is generally perceived as a very tough macro crisis?
Constantino Montesinos: In our case -- go ahead, John. Go ahead, John.
John Santa Maria: Yes, I think there's three things, Felipe, that are driving those results. First of all, you're seeing an opening and more mobility of the consumer in Argentina than what you had in previous quarters. So as the months came by, there was more and more relaxation of restrictions, so that obviously helped solve the economy. Secondly, you're seeing the economy begin to rebound, okay, from where it was. And thirdly, in our case, what we have done is really put to -- put our revenue growth management and segmentation practices in high gear and be able to look at with laser focus going out there and hitting the right price points, promotional packages in different segments and consumers -- and customers that we had done during the third, and we believe we'll find during the fourth quarter. I don't know, Constantino, you want to add to that?
Constantino Montesinos: No, I think that's it. I mean we've had -- as John mentioned, we had good weather. I think that in our particular case, our execution has improved phenomenally. We're implementing our digital platforms. And all in all, the reactivation of the channels has been positive and unexpected, but it happened so quickly in the light of the pandemic. So when you add all those variables together, we're seeing a very good recovery in Argentina. And we expect that the revenues will continue to be impacted on one side from the price controls, but there might be some potential volume upside in the first quarter given the positive trends that we're seeing right now. So I think it's -- all in all, in a difficult context, a positive outlook for us in Argentina.
Felipe Nunez: Right. Fantastic. Thanks guys for color. And congrats again on the deal.
Operator:  The next question is from Lucas Ferreira with JPMorgan.
Lucas Ferreira: Hi, gentlemen. Sorry to come back to the deal once again. I think that's the topic of today. But another question that I have there is, if you can tell us how much the brands you're now distributing account for the volumes you were distributing before? In other words, how much are you losing by not having Heineken, especially Heineken  deal? And what's your plan to replace that volume? You're already doing some other alcoholics. Do you already have expectations for new beer brands in your portfolio? Are you negotiating with other companies apart from these international brands by Heineken? How to think about the kind of fulfilling this, let's say, volume going forward? And the other question I have is regarding your costs. So I think that was a very interesting highlight of this quarter. But since we're seeing costs of raw materials overall increasing significantly, when do you expect those to start being sort of a headwind in your costs? So if you can remind us of your hedging positions and when we should start to see higher cost pressure in your plans to offset those?
Constantino Spas: Thank you, Lucas. I'll tackle that and then also, once more, John can provide some more color on the Heineken deal if that's required. As you all know, we don't disclose revenues or volumes in the case of our partnership with Heineken. So in the light of the question, what I would say is that we expect that the beer revenues during 2021 could decline approximately 40% year-on-year as we adjust the portfolio, right? There's going to be an interesting transition in this case. And our EBITDA margin across South America could be pressured by approximately 100 basis points by the previous year, which is equivalent to 50 basis points at a consolidated level. Now we don't lose with this deal. I think that is very important to highlight. This is a long-term play. So there's evidently a dent in our revenues in the first year merely due to the fact of the transition of the brand. But as John highlighted, first of all, there are very solid plans, and you should be, we're very prepared for a set of very good news going forward in the next few months. There's a very solid plan with Heineken, not only to reinforce the current portfolio that we were starting off with, but also by the launch of at least three international brands in the Heineken portfolio. The Heineken portfolio is very broad internationally, and there's still interesting space for different plays within the Heineken portfolio. So we should not see the current portfolio as a static one. There is a very interesting plan with the Heineken Company to continue to leverage on our commercial capabilities with a customer-centric mindset in our case and with a consumer-centric mindset in the case of Heineken, to develop a stronger portfolio very quickly and enhance what we're starting off with. At the same time, it is also very important to highlight that we have very unique setup with the flexibility of adding other international brewers or local brewers or even our own beers within the terms of the agreement that we have set with Heineken, which will provide with a very flexible and strong platform going forward. That will allow us to have an interesting growth strategy in that particular market. So when you look at that and you complement it with other alcoholic beverage plays as the pilots that we're running with Diageo in some parts of Brazil, very positive so far, you can see that we are converting our portfolio into a very customer-centric one, allowing for a broad set of alternatives for both customers and consumers and on the other hand, with enough flexibility to become an integrated beverage player in this particular market. And, that's on that, and now we also need to understand that our primary focus is to continue to grow our nonalcoholic beverage portfolio with the Coca-Cola Company, which is our core business, and which is a, I would say, a blessing to have such a powerful portfolio and a set of alternatives for the Brazilian consumer. All in all, I think that it's a very good deal, win-win for everyone with a lot of flexibility and very unique in its nature. On the, I don't know if you have any other questions around that. And if that was enough, or John, do you want to provide more color? If not, we move on to the hedging strategy and costs.
John Santa Maria: No. Lucas, I would just say that given the flexibility that this deal provides us, we are speaking with other brewers, whether international or local. And obviously, we'll be moving fast on that as well. But always thinking that there's two primary purposes to our being in Brazil. First and foremost is to grow the Coca-Cola brands, okay? And secondly is to grow the whole pie in terms of beer. So those are the two keys for success for us in Brazil at this point, okay?
Lucas Ferreira: 
Constantino Spas: On the cost side, Lucas, just to remind you that 20% of our COGS are in U.S. dollars. We always have had a very conservative approach in terms of the FX exposure. We have hedged the majority of our dollar needs across the different markets. This year, I think we're very aggressive in taking advantage of the decrease in prices in some commodities to establish very attractive hedges for 2021. In Mexico, we have hedged only 50% of our USD COGS at around MXN 23 per dollar, but we have hedged around 98% of our PET needs in Mexico at prices that are even 5% below to what we paid last year. In Brazil, for example, sugar, we hedged 57% of our sugar needs at prices that are approximately 12% lower than what we paid in 2020. And we're seeing a positive momentum in terms of raw materials, especially PET prices across our territories. So we expect, all in all, we expect that raw materials will be pretty controlled during 2021, which if we combine that with our ability to continue to extract inefficiencies out of our system will allow us, we believe, will allow us to maintain margins throughout the year. I don't know if that answers your question.
Operator: We'll take the next question from Antonio Hernandez with Barclays.
Antonio Hernandez: Congrats on the results. My question is regarding your rollout of Topo Chico Hard Seltzer. Could you give a little bit of preliminary stats of how it has evolved in comparison of your initial expectations?
Constantino Spas: Sure, Antonio. I think we've seen an impressive initial reaction from consumers. I would say the highlights are Brazil and Costa Rica. We have been focused on the premium positioning and execution of the product. It is important to highlight that this is a very different product offering in terms of its liquid configuration and the value proposition to the consumers in the case of Latin America. Latin America in alcoholic ready-to-drinks has been a market of, I would say, mostly spirit mother brand-endorsed product offerings with a very sweet product formulation. This is a lighter product, less sweet and pretty different to what the customer has -- the consumer has been accustomed in the region. So sampling has been part of it and continues to be and will continue to be an important part of the strategy. And then I would say that's from a consumer standpoint. However, in the case of Mexico, we're seeing a much more competitive market than we expected. We have seen brewers enter the market very quickly with different offerings and some other international and local players. The on-premise limitation has also been a challenge as the -- most of the on-premise has been under lockdowns and restricted traffic. And so that is part of the competitive landscape. Where have we launched? Just to recap, we have launched in selected cities in Mexico and Brazil. So that's also a very different approach to what we normally do in the Coca-Cola system when we launch any RTDs, right? We're doing a city approach instead of a nationwide rollout in the initial stages. In Brazil, we started in São Paulo. In Mexico, we are already in Mexico City, Acapulco and Puebla. Costa Rica, we've launched in San Jose. And coming very soon, we'll be launching in Colombia, Argentina and Uruguay. So it's an interesting experiment. We must say that the Coca-Cola system overall and Coca-Cola FEMSA is learning as we roll out and gathering learnings on the alcoholic beverage sector, which is different from the nonalcoholic sector. But all in all, very positive, very enthusiastic. And I think that this is the first step into a very robust design of portfolio going forward.
Operator: We'll go ahead and take the next question from Álvaro García with BTG.
Álvaro García: I have two questions, both on the Heineken deal, and congrats on the deal. The first question, it's been some time since we can sort of ask you openly about, given arbitration, truly been since 2017, we haven't gotten a lot of color on the difference beer makes for you on the truck. And my question more specifically is from a client standpoint. What are the types of accounts that Heineken and Amstel get to relative to the accounts that beer portfolio you kept get to? And sort of from a digital standpoint, what are some of the benefits that a complete portfolio gives you relative to only having soft drinks? That's my first question.
Constantino Montesinos: Álvaro, I mean it's clear there's going to be two separate distribution networks, right? And in our case, we call on approximately 450,000 customers throughout Brazil. We don't foresee any changes in the customer footprint that we have today, and our route-to-market will have zero alterations due to this new deal. As we said before, the core portfolio that we're keeping is a portfolio with high penetration and high coverage that allows us to have high drop sizes in the case of beer. And on top of that, we will start to add interesting plays in different segments, as we have mentioned, both on the Heineken portfolio, with some international -- additional interesting international brands and with the flexibility to incorporate other brewers, international and domestic brewers, as well as the possibility of developing our own brand. So, in that case, we believe that the combination of our NARTD portfolio and the beer portfolio that we'll have is more than enough to continue serving our current distribution network that we have and the set of customers that we call on. On the other side, on the digital side, all of these brands go directly to all of our digital initiatives. We have seen very positive effects of the ability of customers to order anytime, anywhere our brands. It is -- some interesting insights is that when customers tend to order outside of their normal operating hours, they tend to actually increase the set of SKUs that they normally order on a preseller call. That's an interesting insight because it's a reflection of the way that all of us as consumers are interacting with digital applications and digital order-taking possibilities. And we are not an exception at that case. So, that also allows us to not only execute and segment better our portfolio offering, but also allow us for a much deeper product offering, leveraging on the digital capabilities that we have. So that's on our side. In the case of Heineken, it is up to them to answer your question. But from the Coca-Cola FEMSA perspective, that is what we are foreseeing in the implementation of this distribution agreement. John, Matias, I don't know if you would like to provide more color on that one.
Matias Molina: No. No. Agree with you, Constantino. We do see in the very near future and almost today, a full beer portfolio to attend all the premium, mainstream and value segments in order to reach all of our customers. I fully agree with you.
John Santa Maria: And just one other thing. I think what you're seeing is going to be an enhanced choice for consumers in Brazil, which is always good. And it's going to create a whole set of different dynamics. And as these selections come forward, the platforms that we have in place are going to be that much more leveraged. And each one of the points of sale, each one of the customers is going to have that much more choice. And choice is always good. And I think the other thing too that -- to be considered  is, it's not only about beer, okay? We have the ability to also go out and put in the seltzer pieces and low-grade alcohols also in this, and we'll be putting those in the truck and basically also leveraging that at the different points of sale. So the explosion of brands as well as different type of beverages that are low-grade alcohol is also going to make it a very important play. So I think what you can expect is a very dynamic, very, very changing footprint in Brazil. That's going to make it very interesting and exciting from a competitive set.
Álvaro García: That's very helpful color. And just one quick follow-up. Just to clarify, the 40% drop you mentioned earlier, Constantino, and the 100 basis points, given that the agreement sort of takes place midway through the year, does that only consider half the year? Or is that -- would that be the equivalent of a full year impact once this deal takes place?
Constantino Montesinos: That's a full year impact, considering that we're starting in the second semester, yes.
Matias Molina: Yes. And just to clarify on that, consider that we are -- as we said many times, we're planning for new launches. So half of the year, incorporate Eisenbahn, but also it's waiting on the new launches to take off.
Álvaro Garcia: So the 40%, let's just -- look, let's say, basically takes into account the gross impact of this initial portfolio, but it doesn't take into account any potential initial launches? Is that fair to say?
Matias Molina: It does, but it's -- again, it's all happening in the second half of the year or depending on -- we don't have exact dates. We're not disclosing that. But it's a process that has to take off.
Constantino Montesinos: I would say, Álvaro, that's a conservative figure.
Álvaro Garcia: Thank you very much.
Operator: We will go ahead and take our next question from the line of Marcella Recchia with Credit Suisse. Please go ahead.
Marcella Focaccia: Hi. Thank you for taking question. So changing topics a little bit to Mexico. I have a question on the margin evolution. So basically, you closed 2020 with an EBITDA margin at the multiyear high level, largely driven by greater OpEx reduction. So my question is, how can we think about the sustainability of this margin level in this year, 2021, and the evolution of OpEx expenses as well? And a second question would be if you can give us a trading update on how you are seeing operating trends year-to-date, it would be really helpful. Thank you very much.
Constantino Montesinos: Sure. Thank you, Marcella. I'll tackle the first one. Listen, the main drivers of margin expansion in Mexico, I'm going to just highlight you a few, and we strongly believe that we can sustain the margins in 2021. That's our focus and our commitment is to protect margins. So all in all, as I mentioned, we saw a very favorable raw material environment during the last months, and the PET prices have been decreasing, and we leveraged a very successful hedging strategy well into 2021. On the other hand, the combination of our Fuel for Growth program that we started way before the pandemic that -- and continues to be part of our process internally and the fact that our teams have done an impressive job in implementing cost and expense efficiencies, primarily in maintenance, labor and freight, makes us believe that those efficiencies are sustainable in the future and will be part of our margin structure. Additionally, as I said, we took advantage of other, decreasing prices of raw materials during the last year and hedged most of them. Currently, PET and aluminum are hedged at prices that, as I mentioned, are 5% to 10% below what we paid in 2020. And at the same time, remember, and I want to highlight that, during the last year, we had a restructuring program with severance payments related to the Fuel for Growth efficiency program. So all in all, when we put all of this together, we believe we'll be able to protect our margins during 2021 in Mexico, and that would be our base case going forward. I don't know if that answers your question.
John Santa Maria: Yes. Marcella, just a couple of things. I think just a couple of things. When you start looking at what the price/mix effect has been this year, you're talking about consolidating for the year, it's about MXN 9.3 billion, okay, so that's something that we overcame over the period with the last 12 months. And most of that came out of expense control and what have you. But as Constantino said, this is something we've been preparing for, ironically for the last 24 months. And just to give you a flavor for this, on our Fuel for Growth project, we had supply chain reinvention as part of this. And over the three-year period, over the last three years, we've had over $160 million worth of savings there. On our organization piece, we've had about $85 million worth of savings. And coupled with this, we see that the savings and our way of working going forward is sustainable and our margin is sustainable because we have been redefining the way Coca-Cola FEMSA works. And obviously, we have different initiatives, so the teams have done a great job in responding to the emergency and the pandemic. But we do see going forward, as channels come back, we will then continue to increase our price/mix contribution. We'll also be spending more, okay? So it's not something that's just going to fall down to the bottom line, but margins are going to be sustainable.
Constantino Spas: And on the trading update, Marcella, I mean, as you all know, I mean the last month of the year was a year of resurgence in the pandemic effects with a lot of lockdowns. That somehow also affected January in most of our operations. But in February, we're seeing a sequential recovery and a much more positive outlook. So I would say, January, pretty affected. February improving significantly. And we were lucky enough not to have so much of the effects of the low temperatures that we saw in the northern part of Mexico. So from the Central to the South, it was better weather than in the North, and that is positive for us in this case. So all in all, a little bit better in February than January.
Operator: And we will go ahead and take our next question from the line of Miguel Tortolero with GBM.
Miguel Tortolero: And congrats again on the new agreement. I know that you are not allowed to look for different alcoholic alternatives to bring it to the red truck. So my question would be where does hard liquor stand in terms of priorities in this process to find new options?  option or would you rather look for similar agreements? And the second one, giving a break to the agreement, we are seeing clear sequential improvement, but still volumes remain overall depressed. So I know it is not an easy to answer question, but talking specifically about Mexico, when would you expect to go back to pre-pandemic volume levels? What is your base case scenario here? Thank you.
Constantino Spas: Thank you, Miguel. Spirits definitely is part of the total beverage strategy that we have in place in Brazil. As we have mentioned in the past, we're currently running some interesting pilots with the Diageo portfolio of spirits on our red truck, for particular channels and particular regions in Brazil with great success and with a lot of learnings. And we foresee expanding that to other regions because the results have been very, very positive. So the answer is definitely yes. It's part of a total beverage strategy and the development of portfolio. Here, the trick here or the art is to be able to configure the proper portfolio offering for the right set of channels and customers, right? So spirits behave in a slightly different way than beer and definitely nonalcoholic beverages. And you need to be extremely smart in the way you set up your portfolio in order to be efficient and effective, which is a principle for Coca-Cola FEMSA's beverage platform. It's what I call e-squared, right? So it's efficient and effective at the same time. So the answer is yes, and we're learning a lot, and we will hopefully expand more of this going forward.
Miguel Tortolero: And in the case of the...
Constantino Spas: Yes, John, go ahead, please.
John Santa Maria: No. I think as we start thinking about the Mexican volumes, what we'd like to do and our objective is to regain the Mexican volume levels of 2019 by the end of this year. So we have a very aggressive plan in place, but we're looking at, yes, coming in with a, probably the most difficult quarter, the first quarter, and then, starting to retake growth from there to the end of the year. And we have an enormous amount of initiatives. And a lot of it is based on affordability, as I spoke about, continuous rollout and increased capacity on one-way, returnable bottles . We have a lot of initiatives to deal with increasing our household penetration in home routes. We're looking at increasing our capability there by 30% in a channel that is growing by 30%. We have a whole structure, restructuring issue on route to markets for local, for foreign areas and digitizing all the foreign areas, rural areas, which is giving us a lot more benefits, not only economic but also in volume. So we think we have an aggressive plan in place, and our objective is to come back to 2019 volumes in 2021.
Operator: And we will take our next question from the line of Sean King with UBS.
Sean King: My question is back to Topo Chico. In the U.S., hard seltzer has a clear price point advantage to ready-to-drink spirits-based cocktails due to the differential in excise taxes applied to beer versus distilled spirits and spirits-based cocktails. With that said, how are you seeing the price point strategy evolving for Topo Chico relative to RTD cocktails in Latin American market?
Constantino Spas: Thank you, Sean, for the question. In the case of Latin America, the route that we have defined with the Coca-Cola Company is not linking ourselves to the price points or dynamics of the current alcoholic ready-to-drink offering. But more looking into the sources of volume on beer occasions. And in that regard, we have set a pricing strategy that's pretty much inline, depends on the market and on the brand in each particular market, but it's more focused on premium beers rather than alcoholic ready-to-drinks. We believe that there is an interesting source of volume there, that we resolve some consumer pain points in some of the beer occasions and that the possibility of positioning Topo Chico in those segments has much more upside than looking at currently at the alcoholic ready-to-drink premix cocktails that we have in Latin America. So that's where we've set our minds. That's where we're focusing on. And as I mentioned before, I would say it's a long journey because you need to establish a very different liquid profile and a very different value proposition, much more refreshing. I would say, easier to drink. And with some very positive consumer connotations in the product configuration than some of the current alcoholic ready-to-drinks that we have in the market, at least in my opinion. So that's where we're focusing ourselves in the different markets. I don't know if that answers your question.
Sean King: No, that's taking sort of a beer -- aligning with beer pricing -- premium beer pricing seems to make sense. I appreciate it.
Operator: . And our next question will be from the line of Héctor Maya with Santander.
Héctor López: After your comments on the new deal with Heineken, if I understood correctly, you mentioned about developing your own alcohol brand. So would this be only for beer? And would it only be for the Brazil portfolio? I mean would it be in a 50-50 partnership with Coca-Cola? Just to confirm, if I heard correctly. And to know, what are the probabilities of this actually happening in the short term? And then I have a couple of follow-ups.
Constantino Montesinos: Yes. Thank you, Héctor. It's a great question for clarification. So once more, this is a deal that, at its core, has the Heineken portfolio. And as we mentioned, I want to reiterate that, we have very interesting plans with Heineken in order to continue to roll out new brands, international brands into the Brazilian market that are very successful in other parts of the world and where we jointly believe there is an interesting space in different -- not only in different price segments, but also in the type of product offerings that we were able to launch. So that's at the core of the deal and of the relationship. On top of that, as we mentioned in our joint press release, we have, under the terms of the agreement, the possibility to incorporate other beers, international from other brewers or local, owned beers and own alcohol in low ABV product offerings, just as Topo Chico in this particular case. So if we take Topo Chico, that's a reality. It's a Coca-Cola company brand, and it's already part of our portfolio. In the case of international brewers, as John mentioned, we're starting conversations because some international brewers understand that this could be a phenomenal platform for them in Brazil. And as I mentioned in the previous question, we're also working with some spirit companies to look at high ABV spirit product offerings into our portfolio. So all in all, it's a total beverage play with a lot of flexibility. But at its core, once more, we have on one hand, our core business, which is the Coca-Cola Company products and non-alcoholic beverages; on the other hand, in beer, a very strong relationship with Heineken and then the possibility of expanding the portfolio either by our own plays or with other partners, both international and domestic. I hope that clarifies and provides enough color for your analysis.
John Santa Maria: And I think, Héctor, the other thing too is when you start saying in collaboration with the Coca-Cola Company, yes, everything that we're doing is going to be in collaboration with the Coca-Cola Company, especially with the low ABV drinks such as Topo Chico. And there's a lot of room to expand there. And even if we do other ARTDs with other brands, obviously, they would be with the approval and consent in collaboration with the Coca-Cola Company.
Constantino Montesinos: And the last point, Héctor, just to also reinforce that this is a Brazilian deal. Other markets, we'll have other treatments, and we're working on different strategies across the region as we normally do in conjunction with the Coca-Cola Company.
Héctor López: Perfect. That's very clear. And the second question would be -- I mean what are the chances that KOF will start distributing beer in Mexico? And do we expect news about this in 2021? Or would it be more towards 2022? What are the probability there?
Constantino Montesinos: Héctor, I think that I would say we need to -- that's part of a forward-looking strategy, and we would not like to focus on that. I think that Mexico right now has a lot of challenges. We have a very strong position right now in Mexico with our Coca-Cola portfolio and our Jugos del Valle portfolio. And we have our hands full right now. If something comes in the future, we'll definitely talk about it in the upcoming calls. I don't know, John, if you want to mention on that.
John Santa Maria: No, I think there's a couple of things to build on, Héctor. One is that you have a renewed focus by the Coca-Cola Company of being customer- and consumer-centric. And with that, understanding that bringing more and better, as the availability to customers increases the ability to go out there and put out a broader portfolio of our products and also lower the cost to serve that we incur and obviously benefiting of the customer and the consumer. Part of this whole strategy is also looking at different categories to say what are the loads haring opportunities that are available in each one of the different markets and where it makes sense. So it's market by market, okay? There are certain categories that are glaring like the one you just mentioned. But I wouldn't say that it's either possible or impossible at this point for Mexico. But I wouldn't make it that close of a call, as you're saying. And we're in the exploratory mode as Constantino pointed out.
Héctor López: Excellent. Sorry. The last question, I promise this one is going to be different that the ones I had, more on the strategic side. I mean the new deals that you have now with Heineken, can you share with us your process in selecting the new brands that you talk about? In other words, how will you be choosing the premium and superpremium beers brand in Mexico? What are the characteristics that you're looking for in there?
Constantino Montesinos: I'll defer that to Matias as he's part of...
Matias Molina: Yes. So we do have the plan already. We just can't talk too much about it. I would say that with Heineken, we have -- as we said before, we have three launches in the near term that are expected. And I would say they will be mainly on the mainstream and the premium segments, and they are already discussed with them. But we will have to wait for to provide more details. But definitely, I would say, we're very excited about our portfolio with them. And as was mentioned before, we also have flexibility with other brewers that we will be exploring.
Operator: All right. It appears there are no further questions at this time. Mr. Santa Maria, I'd like to turn the call back to you for any additional or closing remarks.
John Santa Maria: Thank you. I would just say that we're tremendously excited about the conclusion of the year. I think we've made enormous progress on our first pillar, which is portfolio. The restructuring of our agreement, the realignment of our agreement with Heineken in Brazil takes away a lot of the murkiness of what the future looks like in Brazil. And as Constantino said, I think you have to think about this as a 10-year deal. We're excited about the partnerships that we can develop. Obviously, the one we have with Heineken is fundamental. Secondly, I'm very excited about how well we have developed our digital strategy, with Brazil being the preeminent market for us in testing. We are looking at -- at the end of this year, we put 250,000 customers on our WhatsApp digital platform. And at the beginning of this year, we went out and named a Chief Digital and Technology Director within Coca-Cola FEMSA reporting to me. And we have a clear path to digitizing internal functions, processes, but more importantly, routes to markets and countries where we see a sequencing of our events and how we're going to be building upon that. So that's extremely important for us. And I think at the end, as what Constantino said, also very active in terms of looking for opportunities, for continuous territorial expansion. We have the balance sheet to do that. We have the willingness to go, and I think we have the relationship with the Coca-Cola company to capitalize on. So I think it's a tremendous year in terms of a very complex environment. We're coming out with some enormously big structural changes and fundamental changes in the way we're looking as a company and really excited about working with future brands. So thank you again for your interest in Coca-Cola FEMSA. And we'll talk again in a couple of months.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.